Operator: Greetings, and welcome to the Sinclair Broadcast Group First Quarter 2015 Earnings Conference Call. At this time, all participants are in a listen-only mode. A brief question-and-answer session will follow the formal presentation. [Operator Instructions] As a reminder, this conference is being recorded. I would now like to turn the call over to, David Amy, Executive Vice President and Chief Operating Officer. Thank you. Please go ahead.
David Amy: Thank you, operator, and good morning, everyone. Participating on the call with me today are David Smith, President and CEO; Steve Marks and Steve Pruett, Co-Chief Operating Officers of Sinclair’s Television Group; Chris Ripley, Chief Financial Officer; and Lucy Rutishauser, Senior Vice President, Corporate Finance and Treasurer. Before we begin, Lucy will make our forward-looking statement disclaimer.
Lucy Rutishauser: Thank you, Dave. Good morning, everyone. Certain matters discussed on this call may include forward-looking statements regarding, among other things, future operating results. Such statements are subject to a number of risks and uncertainties. Actual results in the future could differ from those described in the forward-looking statements as a result of various important factors. Such factors have been set forth in the company’s most recent reports as filed with the SEC, and included in our first quarter earnings release. The company undertakes no obligation to update these forward-looking statements. The company uses its website as a key source of company information, which can be accessed at www.sbgi.net. In accordance with Reg FD, this call is being made available to the public. A webcast replay will be available on our website later today and will remain available until our next quarterly earnings release. Redistribution of this call is prohibited without the express written consent of the company. Included on the call will be a discussion of non-GAAP financial measures, specifically television broadcast cash flow, EBITDA, free cash flow, and leverage. These metrics are not meant to replace GAAP measurements but are provided as supplemental detail to assist the public in their analysis and valuation of our company. A reconciliation of the non-GAAP financial measures to the GAAP measures in our financial statements is provided on our website under Investor Information, Reports & Filings.
David Amy: Thanks, Lucy. Before we go through the results, let me review some of the activities that have taken place since our last earnings call. In March, we announced that we launched Sinclair Digital Ventures, a division of Sinclair that will invest in emerging digital technologies and digital content companies. Sinclair Digital Ventures will focus on companies with products or services that support and expand our digital capabilities in nonlinear footprints. Since then Digital Venture has made a small investment in ScoreStream.com, which provides crowdsourced sports scores, photos, chat that are complementally to our American Sports Network products and sportscast. In April, we announced a partnership with Visible World, a leader in targeted TV advertising technology, in n the creation of the Audience Network for Local Broadcast TV. In addition to enabling us to aggregate impressions across our footprint, the system makes it possible for the first time for agency and advertisers to automatically target specific local broadcast and audience using visible world high yield technology to optimize around multiple audience and related data sources. In April, American Sports Network reached a multiyear agreement with the Atlantic 10 Conference to annually televise at least 52 Atlantic 10 events across seven sports. In its first year of operation American Sports Network produced over 275 college events and nine sports. We also expanded news in three markets including Baltimore, St. Louis and Charleston South Carolina, and lastly, in April, we reached a multiyear retransmission consent agreement with COX Communication. Now Chris will take you through the first quarter results.
Christopher Ripley: Thank you, David. Net broadcast revenues for the first quarter were $464 million, an increase of 24% or $90 million higher than first quarter 2014 and higher than our guidance. On a pro forma basis, first quarter 2015 revenues were 4% higher than pro forma first quarter 2014 due to higher retrans and more than offset the absence of political and Olympics and lower Super Bowl revenues. Television operating expenses in the first quarter defined as station production and station SG&A expense before barter were $273 million, up 31% or $64 million from first quarter last year. On a pro forma basis first quarter 2015 television operating expenses were 8% higher than pro forma first quarter 2014 expenses due to higher retrans, reverse retrans, compensation expense, news expansions and American Sports Network cost in the first quarter 2015. First quarter 2015 television operating expenses were favorable to our guidance primarily related SESAC music license settlement and a shifting of other expenses and projects to later in the year. Corporate overhead for the quarter was $16 million, up only 1% versus the same period last year and includes stock-based compensation of $5 million. We’ve added a new line to our income statement titled research and development, which relates to the ONE Media costs associated with the Next-Gen Broadcast platform. These have previously been included in corporate overhead. For the year, R&D costs are expected to be $15 million, down from our prior $18 million guidance due to timing. Television broadcast cash flow in the quarter was $169 million, up $24 million or 17% higher than last year’s first quarter BCF. The Broadcast cash flow margin on net broadcast revenues for the quarter was 36%. EBITDAR was $160 million in the quarter, up $25 million or 18% higher than the same period last year and higher than our guidance. On a pro forma basis, first quarter 2015 EBITDA excluding special items was up 5% compared to the pro forma first year first quarter 2015 -- 2014. The EBITDA margin on total revenues was 32% for the quarter. Net interest expense for the quarter was $47 million, up $7 million versus first quarter last year on acquisition financing. Our weighted average cost adjusted for the company is approximately 4.8%. Diluted earnings per share on $96 million weighted average common shares was $0.25 in the quarter. We generated $81 million of free cash flow in the quarter and convert 51% of our EBITDA to free cash flow during the trailing 12 months ended March 31, 2015. Our free cash flow yield is approximately 13% and our dividend yield 2%. Now Lucy will take you through the balance sheet and cash flow highlights.
Lucy Rutishauser: Thank you, Chris. At March 31, total debt was 3,911 million. Included in that amount was $129 million of non-guaranteed and VIE debt that we are required to consolidate on our books. We ended the quarter with $58 million of cash on hand and $160 million available on our revolver for a total liquidity of $218 million. In April, we raised $350 million in incremental term B loans and amended certain terms under our existing bank credit facilities. The loans mature July 2021 and were issued at a discount of $99.875 of par value. The proceeds were used to repay the existing revolver outstanding and for general corporate purposes. Capital expenditures in the first quarter were $24 million. For 2015, our CapEx estimate remains at about $90 million. Cash programming payments in the first quarter were $28 million. For 2015, we remain at our prior estimate of $108 million. Cash taxes paid in the first quarter were $14 million. Total net leverage through the holding company at quarter-end was 4.6 times. This excludes the VIE and non-guarantor debt and is net of cash. The first lien indebtedness ratio was 2.2 times on a covenant of four. Our two-year average net leverage at year-end is expected to be approximately 4.7 times, assuming our current portfolio. As previously discussed, in the first quarter, we repurchased $8 million or 300,000 shares of our equity at an average price of $25.60. And combined with the $16 million in dividend paid, we’ve returned almost $24 million to our shareholders, representing over a 30% payout of our as reported free cash flow. Our remaining buyback authorization is for $127 million. Dave Amy will now take you through our operating performance.
David Amy: For the first quarter, net broadcast revenues were up 24% versus the first quarter of 2014. Political revenues were $2 million as compared to $6 million in the first quarter of 2014. Pro forma core advertising was up approximately 2%, including digital revenues and excluding political, Super Bowl and Olympics revenue. Now, turning to our outlook for 2015. For second quarter, we are expecting net broadcast revenues to be approximately $492 million to $496 million. That’s up 22 to 23% as compared to second quarter of 2014. This assumes $5 million of political revenues versus $12 million in the same period last year. On a pro forma basis, second quarter net broadcast revenues are expected to be up 1% versus $489 million in 2014. Our adjusted pro forma core advertising revenues are estimated to be [indiscernible] in the quarter for the same period last year. While we’re seeing the second quarter pacing slower than the first quarter, the auto industry is coming off a strong first quarter in terms of new auto units sold. We are also seeing renewed weakness in FOX Prime, once their hit show Empire concluded their season in March. The show will resume again this fall, and so we expect a pickup on our FOX affiliates in the back half of this year. On the expense side, we are forecasting TV production and SG&A expenses in the second quarter to be approximately $289 million versus $217 million on an as reported expenses in the second quarter of 2014. On a pro forma basis, second quarter television operating expenses are expected to be up 10% versus 207 million in the second quarter 2014. For the year, 2015 TV expenses we are revising our forecast down by $6 million to $1.153 million versus 2014 pro forma TV expenses of $1.065 million. The increase in second quarter and full 2015 television operating expenses as compared to pro forma 2014 are primarily due to higher reverse re-trans, American Sports Network operating costs, digital content management system cost and our news expansion. EBITDA in the second quarter is expected to be approximately $168 million to $172 million as an increased of 7% to 9% versus as reported second quarter 2014 EBITDA of $157 million. On pro forma basis, second quarter EBITDA is estimated to be down 12% to 14% due primarily the absence of political revenues and those expenses I just described relating to return generating initiatives. Based on our guidance, free cash flow in the quarter is expected to be approximately $55 million to $60 million. We are reconfirming our expectations for combine free cash flow for 2015 and 2016 of approximately $805 million to $885 million for an average of $4.20 to $4.55 per share per year. So, with that I would like to open it up for questions.
Operator: [Operator Instruction] Our first question comes from the line of Alexia Quadrani with JPMorgan. Please go ahead with your questions.
Alexia Quadrani: Hi, thank you. My first question is when you see a hit show like Empire, one of your affiliates, I guess, how many folks can be in terms of driving revenue growth? And then just my follow-up question is more on your re-trans growth or net re-trans, I should say longer term, sort of, as you go through, I guess, your renewal for your affiliates for the next few years another sort of round of renewal – ongoing renewals, any color you can give in terms of where you think, you’ll end up in terms of reverse comp, as a percent, I know it’s not always negotiated that way the backend versus where you are today?
Lucy Rutishauser: Yeah, so Alexia, on the net re-transit, last quarter we provided guidance for the next foreseeable future, we expect our net re-trans to grow on a teen percentage growth per year. And we are reconfirming that guidance. I think in terms of the question on Empire, we were mentioning this yesterday at our Board Meeting, it’s very rare that you see a show come out and debut with the magnitude that this show did. That’s really literally a show that comes around from a ratings perspective maybe once every 10 or 15 years. It’s amazing the week-to-week growth that, that show enjoyed. It’s a legitimate huge enormous hit. And it came at a time when Fox needed it most desperately. So the most unfortunate thing is that, there were only 12 episodes. I think you’ll hear next week that Fox is expanding that list of episodes. So they will probably more than likely have the show into sweeps in November and February as they increase the amount of episodes. And that should have an enormous effect on us seeing that next to ABC we enjoy Fox revenue in the second place compared to ABC. So it should have an enormous effect specifically on our company to the positive. It’s an enormous hit.
Alexia Quadrani: Thank you so much.
David Smith: Thank you.
Operator: Our next question comes from the line of Aaron Watts with Deutsche Bank. Please go ahead with your question.
David Smith: Hey Aaron.
Aaron Watts: Couple of clarifies real quick for me. Chris, when you said quarter revenues on a pro forma basis of 4% was that broadcast revenue or total revenue?
Christopher Ripley: That’s our net broadcast revenue.
Aaron Watts: Got it. Okay. And I’m sorry if I missed this. But the music license settlement in the quarter, what was -- how much was that for?
Christopher Ripley: We picked up about $4 million on that settlement. That came to the end of spring.
Aaron Watts: Okay, got it. And I guess, a little bit bigger picture. On some of the stuff that’s going on in D.C. right now whether it’s in Congress or the courts around JSA legislation, Communications Act prospects, some of the Spectrum Auction Logistics can you maybe just comment, since I know you guys are really piped into all of that. What are the issues right now that are top of the line for you? What are the prospects for some of those things playing out in your favor?
Christopher Ripley: I think the first thing Aaron is the Senate yesterday or Monday introduced legislation to grandfather all of the existing JSA’s that have been in business for 10, 15, 20 years. We think this is the proper thing to do. And I don’t know whether you saw the comments from the Mr. [indiscernible] commissioner yesterday. As he came out unexpectedly in full support expectantly in full sport of the idea that what FCC did was not necessarily appropriate. They take 23 years to settle public policy and say we just now eradicate it. The Senate clearly understands there was a mistake made and it is now up to Congress to take this legislation and try to get it done.
Aaron Watts: Got it. And then on some of the many bundles or over the top offerings that some of the distributors are introducing are you finding that most of them are having discussions with you about being included in that, is that something that’s kind of baked into your distribution agreements with them already are any of them talking about leaving you out of kind of the core mini bundle that’s being offered just some thoughts around where that’s going?
David Smith: In terms of the MVPD bundle that you are hearing about Verizon for instance being one that is been talked about a lot. We are in the most widely distributed base package there. We would expect that would be true with any sort of experimentation that happens at the MVPD level. Which we think that is a good thing to the extent that the bundles will be more rational. Give consumers more choice. We think that’s a positive for the industry. The way our agreements work and our full expectation would be that we would always be in a most widely distributed package that any of the rolled out. I think that answers your mini-bundle question in terms of that you mentioned MVPD as well. That is an area that we would expect to participate in as well. It seems some of our peers come out and enjoying things like CBS All Access and those are ongoing discussions that we are having as well.
Aaron Watts: Great. Thanks for taking the questions.
Operator: Our next question comes from the line of James Dix with Wedbush Securities. Please go ahead with your questions.
James Dix: Good morning. I have two. I guess any color that you could give on the change in core ad pacings versus what you saw in the first quarter you talked about good auto industry sales numbers wondering what you’re seeing in terms of auto pacings contributing to what you are seeing for the second quarter in particular. And then I guess, secondly, how are the company’s plans over the next year or so, contingent on decisions by other broadcasters in the industry generally and I’m thinking in particular on how the next generation broadcast standard comes out and the timing of that. And then also just how much participation you see from other broadcasters in the spectrum auction. Just wondering how kind of from a game theory perspective perhaps that affects your plans or not? Thanks.
David Smith: I will address the next generation segment of that. Currently underway the ATSC which is the Advanced Television Systems Committee, which has the – currently, has the responsibility to work through all of the technical issues involved in the rating of the next generation platform. That process is underway for some time now. We think it’s fairly likely that before year end you will see that committee essentially push out where there is likely to be a completed finished standard that will be submitted to the Federal Communications Commission for adoption. In advance of that, the two critical components that will ultimately determine the operating capabilities of the platform which has been rated by ONE Media will likely go to the FCC well in advance to that. Which is ultimately that’s kind of the – what drives the entire trends so to speak. So I think by year-end we will have – actually by early summer maybe July maybe August we should know essentially what the future platform is likely to look like and what the longer-term business models that we can roll off that will look like in many regards as well. And I think, again, it wouldn’t surprise me if possibly within the next three or four or five months the FCC could issue an NPRM, a notice of proposed rulemaking to care for the adoption of the new broadcast platform. And I think once that gets underway, I think you will see generally speaking the industry get behind what’s in its best interest and honestly, I think for the first time in 20 years this is the first time I’ve really seen the industry come together and recognize the necessity to be in control of its own destiny from a technology perspective and that’s a great thing. So, I think you’ll see -- everybody will line-up with the door and say we have to have this and let’s do this as fast as possible. In terms of auction participation that part of your question we’ve all witnessed the AWS-3 options and how they set record prices for spectrum which I think bodes well for the value of our spectrum which we have been working on for a long time in terms of how valuable it really is each line [indiscernible]. So, I would expect the core option to yield very substantial prices for our spectrum. So, consequently, we need to take a look at some of the numbers. The FCC has -- without its estimates; I think you could expect that participation by broadcasters will be high given the types of numbers that have been talked about. The real question is lots of people can be interested and participate, just who will be selected it will be up to the FCC and the reverse auction process. The good news from our perspective is it’s really tied into what David just mentioned about AWS-3 regardless of whether we’re selected for outsized proceeds really it isn’t up to us, but we control our destiny when it comes to AWS-3 and really sells actualizing the true value of our spectrum by making it much more flexible in mobile and IP compatible. So, for us, it’s a great benchmark for value. And I think everyone should look at that. And be comforted that this industry is sitting on a naturally valuable asset, which could be unlocked either through selling in the auction or through AWS-3.
James Dix: Great. Thanks very much.
David Smith: On the automotive question just to follow-up. The category remains very consistent very solid throughout the industry. I don’t think you’re going to see an issue for the industry in this category throughout the remainder of the year. Dave mentioned in his comments, first quarter was record-breaking in terms of auto sales. So, I think a very critical category for the industry is in a good place right now.
James Dix: Thank you.
David Smith: Thank you.
Operator: Our next question comes from Lance Vitanza with CRT Capital. Please go ahead with your question.
Lance Vitanza: Hi guys, thanks for taking the questions. I think you kind of covered this. But maybe just if we could drill into it a little bit more. On the 2Q revenue guidance, I’m just tried to put that in context given some reports that we’ve heard from others that have suggested that the environment remains pretty strong. I think some people have said, it’s getting better not worse and admittedly choppy, which I think is the word they use in the release it probably is good descriptor as any I could come up with. Is there any particular reason, is it mostly just the Empire that’s rolling off. Would you put that at the top of the list or are you saying no. In your markets, are you seeing just less overall dollars coming into the space. And then my other question is just, if you could give me an update on the cadence of network renewals versus distribution renewals and help me remember what that looks like. Thanks.
David Smith: I think when you take a look at, obviously Empire will get the full benefit of that as well everybody else that’s in affiliated FOX next year. We were selling on the [indiscernible] each week grew. We were getting higher and higher rates. But we were playing catch up with the performance. So when you take a look at that show, we will cash in on it next year it will be bountiful. When you look at FOX specifically without that show in second-quarter they’re obviously having some struggles. And as I mentioned earlier in my comments, we are top heavy with FOX. Second in line to ABC so that does have an effect on us. We’re also feeling a little bit of an effect in the South Central region with our Texas stations. There is an issue there with oil pricing being below market. And we are seeing the reaction from the marketplace and that specific region. But I think overall the business is fairly consistent. I think the budgets are being looked at and there all budgets that are being selected to go with more dollars towards digital but it shouldn’t get lost on anybody. That our digital performance is exceptional. And the percentage of increase that we are in growing digitally is enormous. So we are following the dollars. We’ve made that comment on more than one occasion on these calls. The business is changing and we are following it. And we are following it aggressively and having a lot of success doing so. And on the – on your question on affiliate renewals. So, on the re-trans revenue side we have just under 80% of our subscribers that come up for renewal between now and the middle of 2016. And on the network side, we have our CBS and NBC agreement that will come up towards the end of this year, a couple that are scattered throughout this year but the majority of them come up at the end of this year and then a handful of Fox’s they come up at the end of this year, the majority of the Fox’s don’t renew until 2017. And we’ve done all of our ABC agreements and they don’t come up until 2017 or 2020. So we are in a really good position and one of the reasons why we have been able to state that our net re-trans, we expect to grow in the teen’s percent.
Lance Vitanza: Great Thanks so much.
Operator: Our next question comes from the line of Davis Hebert with Wells Fargo. Please go ahead with your question.
Davis Hebert: Good morning. I was just on the [indiscernible] call and then the great call yesterday and they talk about local being fairly robust. Maybe if you could just talk about what you’re seeing on the ground in your local markets and as you talk to your customers in that space?
David Smith: Again, it depends on what region you are in. Overall, the business is consistent like I had mentioned. We are pretty happy with where we’re at this particular point in terms of our performance for sure. But local, again, depending on what region you are in, local could be very good or in some regions it’s a little bit below the expectation. So I don’t really see any real issue in local billing. I think it’s been fairly consistent for our Group in particular. And again our performance locally I would put up against any broadcast company. Across-the-board we have been able to gain share. And to the degree there is any regional concentration like Steve said. When you look at the entire portfolio we have gained share in whatever the market is. So I think that’s the thing we look at the most is, are we -- whatever the lens are we gaining share in those environments.
Davis Hebert: Okay. Understood. And then just a question on the Digital Ventures Group, based on the commentary in the press release it seems like you guys are focused on potential M&A opportunities. Just curious what sort of fit you are looking for?
David Smith: On Digital ventures?
Davis Hebert: Yeah.
Christopher Ripley: So Digital Ventures does not really have any focus. It is investment focused. We really look for check sizes from $1 million to $5 million and companies that have high strategic fit with our core. And that’s the target for that entity.
Davis Hebert: Okay. I see. Thank you. And then last one for me. Talking about your -- 80% of your sub base coming up for renewal over the next couple of years, any thoughts around what sort of bundle of content you are going to be bringing to the table whether it’s news Channel 8 or ASN or other possibilities?
Christopher Ripley: Sure. So our focus on these renewals is maximizing our gross re-trans as always. But one of the things that we have added into the equation is the launch of the cable channel. And that’s discussion that has been underway with them. We have already done over the last year and there were deals that we are barking on over the next 18 months that will be part of the discussion. And what we have not decided yet is what the content will be for that channel. We have got several options there including some derivative of new Channel 8 or ASN could be part of that. But there are several other content strategies which were evaluating organic and inorganic. And until we secure more of the platform which we expect to do over the next 18 months, we are not going to release what exactly the content strategy will be.
Davis Hebert: Okay. Thanks very much for the color.
Operator: Our next question comes from David Bank with RBC. Please go ahead with your question.
David Bank: Okay. Thanks. Good morning. I have two questions. And the first one is, David you have said consistently that a key hurdle for spot television to gain what you think is fair share of the ad pie is to make the ad pie across multiple market stations more efficient. Essentially it seems like you would like the industry to adopt something akin to saber and airline industry. So agency is going to interface on dashboard with a view keystrokes, like 50 markets instead of making 50 phone calls and sending 50 faxes. Can you talk about how the Visible World partnership gets you closer and, specifically, what that involves? How much of this can you do on your own? For it to the work, do you really need everybody in the industry to go in? The second question is the online MVPD – the opportunity going back to an earlier question. It seems to us like the situation where you and your network partners really have a symbiotic relationship and that there are certain rights you have that they do not. And there are certain rights they have but you might not in order to allow for programming to be distributed. So can you talk a bit about what they need from you and what you need from them in order to carry a local Sinclair station on, say, a Sony View or a potential Apple subscription service? Thank you very much.
David Smith: I’ll take the Visible World part of it. I think what you have to look at – and you’re correct. The real issue here is making buying easier, and Visible World allows that to take place. But one thing that should not be lost on what we’re doing with Visible World, when you take a look at Sinclair Broadcasting – and this is a very interesting statement that I’m going to make – if Sinclair Broadcasting was a cable network, we would be the number one cable network in the entire country. Our viewership in 38% of the country has more viewers than the average of the top five cable networks in any demographic in any day part. And what struck us was that in today’s advertising world, is there a market for our distribution of that 38%, so selling Sinclair as a network and specifically going after cable network dollars which we don’t do now specifically. So what this allows us to do is to enter into a new revenue pool that we haven’t enjoyed in the past. And somebody was talking previously about business choppy, not choppy. The fact of the matter is we should always be exploring ways to continue to sell spots and fill up our inventory. And what’s most critical is to find new baskets that you did not play in previously. So when you take a look at, again, that 38% distribution, imagine going upfront of cable network buyers and saying that we dwarf the top five average of the best of the best in cable networks. And I literally mean "dwarf." So our 38% literally doubles the average of the top five cable networks. And that’s what we intend to go out and sell, and that’s what we are selling as we speak. And it’s being accepted with a lot of enthusiasm, and it’s on the ground floor. So we could continue selling this just with our 38% or we have the ability to marry up to other broadcasters and make that distribution far greater than the 38%. That’s someday in the not-too-distant future will allow us to go up to the upfronts of New York and go against cable networks as well as traditional networks for upfront dollars. So this literally has the ability to be a game-changer in terms of filling up spots and maximizing your inventory. Visible World is the press of a button that makes the buying easier than what we presently enjoyed. So when you put together what I just said in terms of the audience itself with the ability to traffic this stuff far easier than we have done in the past, it has the ability to be a game changer. On top of what Steve just said, keep in mind that our 38% against their 100%. And then another way to look at it is it beats all of them combined in terms of news networks. But we can still activate digitally to the degree a client has targeted markets. We can use our integrated to then activate and have a differential on a market by market basis which is also can then be done somewhat programmatically with our digital group in Seattle. So what we are finding is the combination of television and digital is a very, very powerful and we have the ability unlike the network really to target with our local stations through our websites which by now by the way television news websites or television websites dominate almost all markets this is comp score data when you compare them to newspaper websites. So the ability to use our brand to activate digitally is something nobody else can really offer in the network business.
Christopher Ripley: I would add on to – on the visible world side, we are very excited about that initiative because it really addresses the core issue we have been talking about for a while in terms of how just involve it is by TV versus other means and it also opens up an entirely new way to buy our TV station which is on a CPM basis and that something that we have not been able to offered people to date. So there is an automated portion of this there’s CPM [ph] portion of this and there is accessing new dollars angle to this. So we really do think it could be a game changer for us in and the industry overall to really be much more competitive on a lot of fronts. In terms of your question on online MVPD’s – in order for an online MVPD’s carry a single they need the networks to agree to it and need us to agree to it. And so when you put those two together that facilitates the live streams to go onto a MVPD. And that may change as the SEC looks at changing what the definition of MVPD is. But we would actually expect that to be more favorable to us to the extent that the definition gets changed. So those we look forward to – those sort of discussions – we are having those discussions with online players and we think having additional distributors of our content is only a good thing for us.
David Bank: Okay. Thank you, guys for taking my questions.
David Smith: Thank you.
Operator: Our next question comes from the line of John Howell with Wells Fargo. Please go ahead with your question.
John Howell: Hey, guys. Most of my questions have been answered. So just one for me. You’ve talked a lot about your Fox stations but I think you are actually now more exposed on revenue to ABC with Allbritton. Any color around how those stations might be doing will be helpful, especially after seeing some healthy network numbers from Disney’s report? Thanks.
David Smith: I think Allbritton groups done really well, the transition went very, very smoothly. Obviously, the jewel, WJLA in Washington and they are not missing a beat. They are doing really, really well and had a great first quarter awarded, doing pretty well in second quarter as well. We had an enormous political season back in 2014 in Little Rock and they’re still rocking in 2015. So, we couldn’t be happier with that acquisition. Stations are performing well. So, as far as Allbritton, no problems really whatsoever, and ABC, in general, is performing well for us. You would have expected them to do well in first quarter, they did, going up against the Olympic numbers from previous years. And they’re doing fine for the second quarter as well.
Christopher Ripley: Yeah. Seattle and Portland crushed it in the first quarter audit. So we’re gaining share.
Steve Marks: Yeah. We’ve been – as a little bit of follow-up here we have been expanding, and as I mentioned earlier, our news operations in a number of those stations and putting resources behind that and expanding. And it is improving NewsChannel 8 over in D.C. with – in both the content and talent. So we’re stepping up and putting improvements into the news operations there and which were very good and we’re just making them better.
John Howell: Okay. Perfect. Thank you so much.
David Smith: Thank you.
Operator: Our next question comes from the line of Tracy Young with Evercore ISI. Please go ahead with your question.
Tracy Young: Yeah. Hi. I’m sorry to keep harping on this. But is there any way to give us a sense of core revenues ex-political for Q2. I know you just mentioned now that Washington had a big Q2 for political on that wouldn’t have been in your numbers last year, so anything you can give us that would be helpful. And then, when can we expect you to give more color on your digital business? Thank you.
David Smith: I think on the core for second quarter, we are looking at just slightly down and again I would refer to the regions that we talked about specifically Texas. Had we not have that difficulty with the oil situation there we would be on the right side of the equation. So there is no [indiscernible] I think our performance is exceptional. The audits bear that out. And eventually Texas will turn around it may happen as quickly as third quarter. So again, from a performance issue there is no issue, it’s exceptional. And the audits bear that out in first quarter and we expect that it will bear that out in second quarter. Just a question of the dollars that are coming into specific markets specifically in Texas and we have a lot of exposure in Texas a lot of strong television stations in Texas and it’s not a performance issue, it’s a issue of money coming into the marketplace.
Tracy Young: Okay. Thank you.
Operator: Thank you. And our next question comes from the line of Barry Lucas of Gabelli. Please go ahead with your question.
Barry Lucas: Thank you. And good morning. A couple of items. If you can touch on the R&D investment, what do you think the total amount is now, I see 15 for the year the second half looks like the first half but where are those dollars going and given the timeline that David described in terms of adoption of the new standard. When do you actually think that gets implemented and we see some revenues flowing through?
David Smith: I think the Barry – I think the money is going to literally lots of engineers who are sitting down and designing. I would simply characterize as the most perfect platform that the broadcast industry can have to be able to compete in every arena that exist. It’s really a rounding there in the grand scream of things when you consider what the capability of the platform will be going forward, and completely discounting to zero what the value of the intellectual property will be that will emanate from the work is being done. So, I think you know the timeframe, we talked about it for a while, I think by year-end it should be very clearly defined. It should be either in front of, or about to go in front of the FCC. I think the industry at large is starting to prepare the work on a transition plan as we speak. So, I’d like to tell you what day it’s going to be or what month it’s going to be, but I cannot tell you that, because I do not know. Sometimes the government can be kind of a slow process, but nevertheless, I think as an industry we’re very close to saying we’re ready to go, let’s do what we need to do to get this thing adopted, because every day that goes by there is opportunities that are being lost for us to go play in other businesses and we simply want that opportunity as fast as possible.
Barry Lucas: Thank you. If we can just touch on advertising again for a bit in Q2. Maybe Steve could provide some color on not just the markets, but the categories that are either stronger or weaker? I would appreciate that. Thank you.
Steven Marks: I don’t have the categories in front of me right now, but when you take a look at our performance again it’s pretty consistent with the last few quarters actually. You’re seeing slightly percentage of increases one way or the other. And if you took out the South Central region, we would be enjoying a positive second quarter. So, it would be low single-digits, but it would be positive. And again we’re so big we get caught in some regions and it’s just one of those quarters where Texas specifically just took us down just a pinch.
Barry Lucas: Great. Thank you.
Operator: Thank you. This concludes today’s question-and-answer session. I’d like to turn the floor back to management for closing remarks.
David Amy: Thank you, operator. We thank you for participating on our earnings call this morning. And if anyone has any additional questions, feel free to contact us.
Operator: Ladies and gentlemen this concludes today’s teleconference. You may disconnect your lines at this time. And thank you for your participation.